Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Entera Bio Second Quarter 2019 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-an-answer session. Thank you. Bob Yedid from LifeSci Advisors, you may begin the conference call.
Bob Yedid: Thank you, and welcome to the call. Joining me today on the call is Adam Gridley, our Chief Executive Officer; Phillip Schwartz, our President of Research and Development; and Dana Yaacov-Garbeli, our Interim CFO. A press release announcing Entera's financial and operating results for the second quarter of 2019 was issued this morning. For those of you who have not yet seen it, it will be posted in the Investor Section of our Web site at www.enterabio.com, and is also available at the SEC's Web site. On this call this morning, we will share with you a business update and our financial results which will be followed by question-and-answer session. During today's call, we'll be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include statements that address future operating, financial, or business performance or our strategies and expectations. Forward-looking statements are based on management's current expectations and beliefs, and involve significant risks and uncertainties that could cause actual results, developments, and business decisions to differ materially from those contemplated by those statements. Those risks and uncertainties include but are not limited to the timing and conduct of our clinical trials, the clinical utility of our product candidates, the timing or likelihood of regulatory filing and approvals, our intellectual property position, and our financial position as well as those described in the risk factors in our annual report on the Form 20-F and in future filings with the Securities and Exchange Commission. We encourage all investors to read our SEC filings. All information we provide on this conference call is provided only as of today, August 20, 2019, and we undertake no obligation to update any forward-looking statements we may make on this call on account of new information, future events, or otherwise. Finally, please be advised that today's call is being recorded and webcast. With those prepared remarks, I will now turn the call over to Entera's Chief Executive Officer, Adam Gridley. Adam?
Adam Gridley: Thank you, Bob. I am delighted to join Entera at this exciting time of the company's evolution. A special thanks to the board of directors and Dr. Phillip Schwartz, our President of R&D, for his warm welcome, and I very much look forward to a strong collaboration with him and the senior team. His vision as a co-founder was part of what attracted to me to this opportunity as well as the commitment by our board to fully transition from the entrepreneurial research-based organization with a tremendous heritage and scientific reputation to a public global organization developing novel delivery therapeutics for unmet needs. The recent addition to board of directors, senior medical advisors, and a significant research and license agreement with Amgen announced in December are all examples of the steps we are taking to transform the company, and I look forward to stepping in to accelerate the company's evolution. Whilst there's truly a dearth of novel delivery mechanisms to take what were historically injectable molecules and biologics and I believe Entera can solve the age old challenges of converting some clearly efficacious products into a daily oral pill whether it would be for acute indication such as hypoparathyroidism or in some cases the disease that requires strong compliance to prevent osteoporosis. Our patients and our partners within the biotechnology and pharmaceutical community are all seeking and demanding better delivery solutions. This is not a zero-sum game to provide a competitive entry to leading injectables. Instead, this is an opportunity to expand the patient population who are not treating their symptoms or disease state due to a lack of satisfactory options. Lastly, I believe there is significant value to be unleashed within our patent protected therapeutic development pipeline, and we believe we have not yet fully realized the promise of other potential molecules or proteins that could be turned into oral medications or that may enable new markets to be created once satisfactory solution is available. The board and management has made a strong commitment to grow and evolve our company, our presence with investors and the platform itself. This started back in 2018 with the addition of Jerry Lieberman as the Chairman of our Board; the addition of Faith Charles and Miranda Toledano as two independent directors, and then with the addition in 2019 of Jerry Ostrov and Sean Ellis. This was bolstered by the investments in our talented executive team including Hillel, Roger, and Arthur. We will continue to invest in the team, the pipeline, and responsibly grow the organization in a manner that creates value for our shareholders. Today the opportunity before us is to tell this compelling story to our existing investors, new investors, and potential partners, and to ensure Entera's adequately funded in a responsible manner, thus, enabling us to realize the full potential of this platform. To that end, this is the first of what will be a regular cadence of quarterly calls with investors and analysts and a growing and visible presence at investor conferences going forward. So the agenda for today's call will include an overview of our development programs, upcoming milestones, and the associated market opportunity for our lead programs. We will then speak to our business development and investor relations efforts before we briefly review our current financial operations, and then following concluding remarks, we will open the call for a question-and-answer session. Let's start with a quick reminder on Entera, who are we and what do we do. The company was founded back in 2009 by Phillip and he later partnered with DNA and others to fund Entera. The underlying strategy was to develop a platform technology that allows for the oral delivery of biologic molecules by protecting those molecules as well as facilitating their absorption in the GI tract. The combination of these two technologies maximizes potential therapeutic effect and ensures consistency in the delivery of the drug. The product of those early efforts was the highly effective combination of protease inhibitors working in the complementary fashion with validated absorption enhancer molecule. This technology discovery facilitated the consistent and efficient delivery of our lead drug parathyroid hormone or PTH through the walls of the GI tract which normally only allows small molecules to be delivered. We believe this technology can be applied to other large molecules and proteins as we have validated with other molecules and our internal pipeline as well as with a number of external collaborations. Now as we chose the therapeutic indications for our internal pipeline, our decision was informed by relative market sizes and unmet need to due to poor compliance such as in the case of osteoporosis and alternately in the cases of hypoparathyroidism where we are able to substantially improve the efficacy of the oral delivery and without multiple injections daily. So, let's start with an overview of our two lead product candidates. I will turn to Phillip to review the status of these programs, the market needs, and where our solution may provide substantial benefits to our patients. Phillip?
Phillip Schwartz: Thank you very much, Adam. It's really been a pleasure working with you, and I would like to give a really warm welcome to Adam, and I have really enjoyed working with him for the past week and a half. I would like to begin our discussion with our lead candidate for osteoporosis, EB613. Based on the recent guidance we received from the FDA in the pre-IND meeting, we have greatly accelerated the potential development pathway for this drug. In the formal meeting that is from our FDA meeting in late 2018, the FDA provided positive feedback and guidance regarding our development plans and the use of the 505 (b)(2) pathway for the approval of EB613 for the treatment of osteoporosis. In this meeting, the FDA confirmed that Entera produced bone mineral density BMD as a primary endpoint, rather than fracture incidence and a registration trial to support a new drug application or NDA. We believe this guidance will substantially reduce the time and funding required to commercialize our product. Utilization of the 505 (b)(2) pathway should allow us to move EB613 into Phase 3 studies in 2021 with a high degree of confidence, and if successful, we intend to apply for marketing approval as soon as possible after the Phase 3 is completed. Although the utilization of BMD as a primary endpoint would allow us to conduct a registration enabling study for EB613 on our own, we have initiated discussions with large pharma partners to conduct the Phase 3 trial and to commercialize the product. We announced in July that we initiated enrollment in the short Phase 2A double-blind placebo controlled dose ranging study evaluating three different doses in 160 patients. We will evaluate both safety and determine the optimal doses of EB613 to advance into a Phase 3 pivotal study. The treatment period will last six months and we will analyze a number of bone markers as well as bone mineral density and safety endpoints. Assuming a favorable outcome from this study, we would then conduct a single Phase 3 multi-center head-to-head non-inferiority study, comparing Entera's oral PTH with Forteo over a six to 12 months treatment period. I'd like to point out that PTH, one through 34, also known as Forteo, which is marketed by Eli Lilly is an exceptionally well-tested and understood drug that has been utilized in over 1.5 million people worldwide. We believe that short-term bone market data generated with PTH as well as BMD data had historically been very predictive of the efficacy of this drug in a larger, longer term trial. Thus, we believe the upcoming data readouts in 2020 will be very meaningful, and greatly increase the probability of the successful approval of EB613. Let's touch briefly on incidence of osteoporosis. The National Osteoporosis Foundation and numerous academic articles estimate that there are more than 20 million osteoporosis patients just in the United States, and an additional 20 million people are at high risk for the development of osteoporosis. The International Osteoporosis Foundation estimates that there are more than 200 million worldwide with osteoporosis with less than 8% receiving any form of treatment or therapy. The issue here is less one of the cost of therapy, this lack of therapy can lead to four-fold increase in fractures and a two to three fold increase in hip fractures. The cost to the healthcare system of treating these fractures is immense and many times greater than the cost of therapy, to say nothing of the suffering and pain caused by these fractures. The problem with current therapies is one patient preference and compliance. Osteoporosis is a silent disease that primarily affects the elderly. As these elderly patients do not feel sick, they're rarely willing to take an injection to treat a disease, which in their minds does not really exist, and is not top of mind, thus, despite the fact that some of the most effective therapies or injections, only a tiny percentage of the patients with serious osteoporosis are willing to take injectable treatments. Despite the low treatment rate compared to the incidence, excellent drugs in the marketplace, such as generate respectively $1.7 billion and $2.2 billion in revenue annually. The potential osteoporosis drug market in the U.S. alone is estimated by industry sources at approximately $19 billion. China may have as many as 80 million people with osteoporosis, with an increasing portion of the growing disposable income now spent on healthcare. With our solution, a once daily pill of EB613 that has comparable efficacy to injectable for pill, we expect to grow the market substantially by providing patients a much better solution. Next, we'll talk about EB612, our second proprietary PTH drug for the treatment of the orphan disease hypoparathyroidism. In November 2018, we reported positive results from the first part of a Phase 2 pharmacodynamic and pharmacokinetics studies confirming that oral PTH is effectively delivered into the bloodstream and activates biological pathways that PTH is known to regulate. Oral PTH has shown to positively impact the level of serum calcium, phosphate, and active vitamin D, as well as induced and almost 25% decrease in 24-hour urinary calcium levels and hypoparathyroid patients treated for just one day. The second part of this PK/PD study has evaluated a low and high dose regimen of oral PTH administered three times a day, and also included the norm in which patients were treated with Natpara, a commercially available drug for the treatment of hypoparathyroidism. We expect to present results of this data in September 2019 and a medical conference which will provide input for the design of our anticipated pivotal clinical trials. For a vivid perspective on the market, hypoparathyroidism is a rare condition in which the parathyroid glands failed to produce sufficient amounts of parathyroid hormone or the PTH produced last biological activity. Due to deficiency of PTH patients may exhibit abnormally low levels of calcium in the blood hypoglycemia, which is very serious and high levels of phosphorus hyperphosphatemia. These may cause a number of severe conditions including kidney stones, kidney failure, cardiovascular events, and even dementia. hypoparathyroidism affects approximately 60,000 people in the United States. Hormone replacement therapy in the form of commercial PTH injection, has been available since 2015. Like the osteoporosis program, we believe in oral candidate will provide better compliance, but in our case, potentially also better efficacy as compared to the commercially available Natpara marketed by Shire, which is now part of Takeda. Importantly, Entera's oral PTH candidate has been awarded orphan drug designation in both the United States and the European Union. I'll now turn the call over to Adam to cover our progress on the business development and Investor Relations front. Adam?
Adam Gridley: Thanks, Phillip. As I noted earlier, the business development opportunity is for both our lead programs and exploratory programs are substantial, and our goal is to narrow our focus and execute on a number of potential programs over the coming years. To frame the opportunity, there are three main areas of focus on our ongoing discussions of leading biotechnology and pharmaceutical companies. First are those companies with leading injectable franchises that are now facing patent expirations as well as the growing threat of biosimilars. Secondly, they're intriguing biologics and proteins that have been identified by other companies than in many cases have proven efficacy, but cannot be utilized as injections for a number of medical and technical reasons. These drugs frequently are discontinued in the development pathway that may be effectively developed with our oral delivery platform, which is a great interest to potential partners. In this way, similar to some of our work with Amgen, we're enabling the development of drug which might have otherwise not been usable. Lastly, we believe there are certain regional deals in China for a certain other platform applications, for example, our global deals where we may license Eb613 or 612 to rapidly develop and commercialize these products. Part of my joining the company was to broaden and accelerate the efforts of a number of biopharma companies that are currently evaluating our technology. While we can't predict exactly how and when each of these parties may move to a formal agreement with Entera, we can share with you a bit of detail regarding our ongoing dialogue. At the Bioindustry Conference in Philadelphia in June, we had significant inbound interest from a variety of leading companies. Those discussions continue and, in many cases, lead to confidential material transfer agreements, where such parties will work with our talented R&D team here in Israel to evaluate the molecules or proteins for suitability to work with our technology platform. Depending on the outcome of those studies, we may be able to license our technology for certain indications, and our goal will be to target at least one additional partnership in the next 12 to 18 months. Moving on to the Amgen deal, this is progressing nicely and since December 2018. We have jointly planned, conducted, and completed a number of successful preclinical studies. Both teams have frequent meetings and we continue to move project forward as quickly as possible. As a reminder, the deal includes up to 270 million in aggregate milestones and reimbursement for all these preclinical expenses. Lastly, and an area that I'm tremendously excited about are the opportunities to leverage our best development and clinical experience into global registration programs. Our rapid development pathway for osteoporosis as a function of the recent positive regulatory reforms in China may allow us to leverage the long history of development into a more expedient entry into China. In addition, there are therapeutic indications or markets unique to China, where we may develop additional products with a partner. In that theme, we have retained the leading Chinese firm to assist with the strong inbound interest that has arisen over the last several months, we are completing our market segments, working with potential partners both on the technical and business diligence, and expect to have regular updates regarding our progress in future calls. In today's environment, Israeli technology and partnerships are becoming highly sought after, partly due to the strength of our science and reputation and partly due to the ongoing trade and political development. Now let's turn to our Investor Relations strategy. Historically, Entera has been relatively quiet company largely supported by our historical investors. We appreciate that there's a level of frustration regarding our stock price performance, and we will be taking a more proactive and holistic approach of communicating our story and our vision. We are first focused on executing on our internal clinical programs, and the ongoing business development activities, but in parallel, a concerted Investor Relations and public relations strategy will be implemented but we will engage with investors by conducting regular non-deal road shows to build our presence in the market. We will be seeking to develop additional sell side research coverage, in part based on my relationships with equity research analysts, building out our presence online on our website, and a variety of other platforms. And as you find us today, we will be engaging in a regular dialogue with quarterly calls and progress updates, complemented by appropriate press releases, and other tools supporting material updates to our shareholders. We'll lastly be investing in our team, particularly on the finance, business development and Investor Relations front in the United States, and particularly in the Boston area, where there's a deep pipeline of talent. We will continue building out our development capabilities in Israel, and our clinical and development teams in the United States. At this point, I will turn the call over to Dana to discuss our financials.
Dana Yaacov-Garbeli: Thank you, Adam, and good morning everyone. Our quarter results appear in the financial statement for the three and the six months end of June 30, 2019 filed earlier today. Revenue for the six months ended June 30, 2019 were $72,000 from services provided to Amgen under our licensing revenue. Our total operating loss for the six months end of June 30, 2019 was $5.2 million. Research and Development Centers for the six months ended June 30, 2019 were $3.4 million largely comprised of salary and related expenses, materials, clinical manufacturing, and other clinical trials expenses. General and Administrative expenses for the six months ended June 30, 2019 were $1.7 million largely comprised of salary and related expenses, including share-based compensation, legal and DNO insurance expenses. Total cash out of June 30, 2019 was the $7.4 million, which we believe will find our operation for the balance of 2019, and we are evaluating the variety of measures to increase our liquidity and working capital need. I will now turn the call back to Adam for concluding remarks before we go to question-and-answer session. Adam.
Adam Gridley: Thanks, Dana. We appreciate everyone's ongoing support with Entera and in just a few short weeks I've come to appreciate the broad opportunity before us as well as what is required if you only realize this. We will be rapidly developing a cohesive product development, business development, and Investor Relations strategy that we'll share with you in the coming months. All of the ingredients are here to create tremendous value, a strong R&D and management team, leading board members with diverse experiences and background, large markets with the substantial unmet need that we believe can be addressed with our validated technology platform. My responsibility and commitment to each of our patients and shareholders is to clearly articulate our value proposition and set realizable milestones based on these market drive strategies. We will then allocate our resources accordingly and fund the company in a responsible manner to help maximize the true opportunity of this technology platform. Candidly, we would be remiss if we only developed an oral version of PTH when our team is already seen compelling data well outside of our lead candidates. In summary, for those lead candidates, we have a series of important value creating milestones over the next couple of years for lead programs. These include the completion of enrollment of our dose ranging study for EB613, filing INDs for both programs, and the results of our Phase 2 dose ranging study for EB613. Lastly, we believe we have a global development opportunity, and we are rapidly engaging with potential business development partners, not just to bring in non-dilutive capital or reassuring partnerships, but to further develop our pipeline outside of PTH several which could have an even bigger impact for patients and our lead programs. In summary, we'll be reporting on these milestones and our progress on future calls, and we look forward to rapidly repositioning Entera as one of the leading oral delivery companies in the biotechnology industry. We'll now open up the line for any questions. Operator, please open up the line.
Operator: Thank you. We'll now be conducting the question-and-answer session. [Operator Instructions] Thank you. First question is coming from the line of Naureen Quibria with Maxim Group. Please proceed with your question.
Naureen Quibria: Hi, good morning. Congratulations to Adam Gridley on your new role with Entera. So I was just wondering, could you perhaps, you know, you alluded to this, but share your view on the current competitive landscape on osteoporosis, particularly the anabolic space. You've got Forteo, presently there's one biotech who's generic Forteo, their PDUFA is coming up shortly in October, you have Amgen Evenity, also an injectable that just got approved in April. So, in light of all these developments, you have Entera with obviously EB613 perhaps you could -- how do you see EB613 differentiate in this competitive landscape?
Adam Gridley: Hi, Naureen, this is Adam. Thank you for the kind welcome, and happy to start, and then I'll turn it over to Phillip to provide some feedback there. So I think our enthusiasm for the market actually continues to grow. I think the competitive entrants very much signaled the need that exists here for patients, and as we highlighted both in the press release and our script, there's just still a very small percentage of available women who could be treating their osteoporosis, but hesitate to do this compliance issues with injectables. So, we actually think that with a presentation such as an oral opportunity, such as EB613, we can in fact grow the market for those that aren't dealing with symptoms immediately it's hard to be able to treat such a disease, but if you were able to improve this from an ease of use and compliance perspective, we think that this would be seen very favorably, both from a patient perspective, and also we've heard from our surgeons as well that they would do this very favorably. Phillip, anything that you'd want to add?
Phillip Schwartz: Yes, thanks very much, Adam. Yes, I would concur with everything that Adam said. In addition to that, I'd like to add that Forteo, which is currently exceptionally well-tested and utilized throughout the world has one of the best safety profiles, and it's very well understood how it operates. The primary driver from preventing people from utilizing Forteo even though it has a relatively large amount of revenue, very, very few patients relatively take it. We believe that making an oral version of Forteo essentially or EB613, as Adam mentioned, most specifically expand the market. Currently less than, I believe, approximately 3% of the market is treated with any form of injection or infusion of those osteoporosis patients, who are treated, and 97% of the treated population is treated with some form of oral therapy. So, clearly, one of the major drivers to whether someone will adopt therapy or not, is whether it's an oral medication or not for this silent disease. Additionally, as Adam mentioned, a relatively small proportion of the population is actually being treated for osteoporosis at all, and I think that these are actually very, very positive development for us because as many of these new anabolic agents, specifically Evenity and some of the generic Forteo's hit the market, I think it will significantly increase awareness, and I think our drug as well as their drugs have the potential to increase the amount of patients being treated for osteoporosis, which is a really important goal just to get more people treated for osteoporosis given how serious the disease is.
Naureen Quibria: Great, that's helpful. Thank you. And with regards to your actual program, and you know, you have the Phase 2B that initiated, could you perhaps elaborate a little bit more on the study? How do you think the pace of enrollment will be in? How do you actually think the results may inform the Phase 3 study design?
Adam Gridley: Thanks, Naureen. So, I'll start. As we noted, we just started enrolling patients over the last month or so, all of the sites are currently enrolling, we have a number of patients in screening now, and we expect that enrollment will complete in the coming quarters. The way that the study is designed was of course based on significant input from the agency, and we'll have data readouts on a rolling basis starting in 2020 first with some of the bone marker data, which we will be collecting at three months with approximately 50% of the patients, and then followed by some of the bone mineral density data coming out at three and six months. So, this is really a dose-ranging study intended to help inform the appropriate dose for the Phase 3. We believe that the design of the Phase 3 based on the feedback from the agency is very solid, very well-defined, and unlike some of the historical fracture studies we'll be using some of the same data to then inform that Phase 3 design. Phillip, anything you'd like to add to that?
Phillip Schwartz: Yes. I think, Naureen, in focusing on your question about how will inform our design at Phase 3, this trial is really designed to go ahead and not to statistically separate each of the doses. We think that will have a very, very strong trend, but in primary concern is that we wanted to make sure that we were reaching a threshold where all of the patients would be adequately treated. And right now, currently with our low dose, we believe that that may be the case, but we'd like to confirm that as well. Additionally, I would say that having this data, the bone marker data is incredibly valuable because bone marker data has relatively small amounts of background noise in the data, and this data will be very, very highly predictive of the outcome and a longer BMD, Bone Mineral Density study. So, in terms of understanding how we can power that Phase 3 study, additionally, all of this data will be exceptionally helpful as well.
Naureen Quibria: Great, helpful again. So, final question from me with regards to your EB612 program, you mentioned that you have data in September, the full data reported, but there was no mention of the conference, and I was just wondering what the next steps would be for that particular program?
Phillip Schwartz: Excellent. So, this data will be presented at the American Society of Bone and Mineral Research as this is typically where we're presenting most of our data that will be a poster presentation. We do expect and the full dataset will be assembled for a feature publication on a peer review basis. That will also help inform our next steps from a regulatory perspective and how we may design that Phase 3 study. So, this is the next step of that data release, and you should expect additional input from us in the coming quarters on what that program will look like.
Naureen Quibria: Great, thank you. That's it from me.
Phillip Schwartz: Thanks, Naureen.
Operator: Thank you. [Operator Instructions] Our next question is from the line of [indiscernible]. Please proceed with your question.
Unidentified Analyst: Good morning, and thanks for taking the questions, as well as Adam congrats on taking the helms of the company.
Adam Gridley: Thanks.
Unidentified Analyst: My first -- no problem, and my first question is for the EB613 in osteoporosis trial Phase 2 study. When you report the three month biomarker data, at that time that the date -- the blind will be broken or does this trial remain sort of blinded?
Adam Gridley: Excellent question. So, the data will not be unblinded. So per the protocol and per discussions with the agency, the trial will remain unblinded and randomized. It's actually possible to do this with some studies as the endpoints are measured by taking blood tests. We'll then continue to follow patients at three and six months for the bone mineral density as well. So this is all part of the plan. We're very sensitive to making sure that the conduct and the robust nature of the data collection will be not impaired by that.
Unidentified Analyst: So, we will have redid some unblinded the data and get some feedings, but we don't know the finals, sort of, breakdown between the two groups -- two or three groups of that?
Adam Gridley: Absolutely. So that interim data we think will actually be quite instructive, and naturally, we want to make sure that our investors and our patients have visibility to that ongoing process. So that was part of the group protocol definition. And then we will continue to report out on the top line basis the three and six month data. And given the significant interest both from patients, investigators, and then potential business development partners, we very much designed that, so we could be not only providing rolling updates in terms of top line data, but then that'll also allow us to start to engage with the FDA on the design of a potential Phase 3 study. So, this is all part of the original plan as we design this.
Unidentified Analyst: Okay, great. And maybe one more follow-up question, which is that the Amgen collaboration, I know you may have -- you may be limited to what you can say, but just curious, what's the general guidance you might have for the future, say, any kind of announcement from Amgen regarding the progression of that program?
Adam Gridley: Sure, excellent question. And you are correct, the details of the Amgen program are confidential, but we can share with you that our ongoing collaboration is proceeding in a very positive matter. Our teams are in a regular dialog and doing quite a bit of work at our laboratories in Israel. We would expect that as we get to material updates over the coming quarters, we'll continue to provide visibility to the first program that they're evaluating, and then any other material updates that come out of that. Thus far, and I'll ask Phillip for any further thoughts, the collaboration has been extremely positive, and I think both parties been very pleased with the progress we've made. Phillip, any additional color you can provide…
Phillip Schwartz: Thanks, Adam. No, I would just add to that also Amgen has also been doing experiments also in their facilities as well. I think that we're allowed to reveal that as well. Additionally, I would say that this is, as Adam mentioned, this is for the first program. We can say that Amgen is constantly evaluating and looking at additional programs that they wish to enter into this collaboration and to this agreement. And so, we're looking and in constant discussions and in constant assistance to them, helping evaluate which programs would be most appropriate.
Unidentified Analyst: Okay, great. That's very helpful. I'll maybe just tag on one more. Just could you remind us what's the economy for the Amgen deal, any milestone and other stuff going forward should they be realized?
Adam Gridley: Sure. So, I'll start. So, we did announce there's an upfront payment that we received back in December. This has the potential for well north of $270 million in milestones as it relates to the specific milestones that are still confidential, but there are typical development milestones associated with certain regulatory process as well as development progress. Along the way, we also of course receive reimbursement for any of the research activities conducted by our teams and in Israel as well. So, we will continue to provide updates from a financial perspective, but we're expecting that this will be a very positive outcome, and hopefully we'll continue to provide non-dilutive funding as we move forward as well.
Unidentified Analyst: Okay, great, thanks, and again, congrats on the progress.
Adam Gridley: Excellent. Thank you, Yale [ph].
Operator: Thank you. I will now turn the call back to Adam, for closing remarks.
Adam Gridley: Thank you, Operator, and thanks to everyone for taking the time this morning to join our call. We appreciate your continued support, and we look forward to meeting with many of you over the next few months, attending investor conferences and also providing an update to our patients, our investors, and our analyst on our third quarter call targeted for November. Have an excellent day. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.